Operator: Good morning and welcome to the USA Truck’s Fourth Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Stephens, Senior Vice President, Finance, Strategy and Investor Relations. Please go ahead.
Mike Stephens: Thank you, Holly. Good morning and welcome to USAT Capacity Solutions fourth quarter earnings conference call. Joining us this morning from the company are James Reed, President and CEO; and Zach King, Senior Vice President and CFO. We thank you for joining us today. In order to help you better understand USAT Capacity Solutions and its results, some forward-looking statements could be made during the call. As we all know, forward-looking statements, by their very nature, are subject to uncertainties and risks. For a more complete discussion of factors that could affect the company’s future results, please refer to the forward-looking statements section of the company’s earnings press release and the company’s most recent SEC public filings. In order to provide you more meaningful comparisons, certain information discussed on the conference call could include non-GAAP financial measures as outlined and described in the tables in our earnings press release. I will now turn the time over to James.
James Reed: Great. Thanks, Mike and good morning, everyone. As of next month, USA Truck will have gone public 30 years ago. We want to properly frame the magnitude of our fourth quarter 2021 result in the history of this company in the context of that tenure. The fourth quarter results represent the best adjusted quarterly operating income and adjusted earnings per share in company history. The highest revenue quarter in the history of USA Truck, our third consecutive record setting quarterly revenue and the sixth consecutive quarter of record setting profitability. Our results represent an important milestone in the maturation of the company. There are still many elements of our self-help story in motion. We continue to refine our network. We are realizing the early benefits of regionalization. We continue to improve our revenue per asset utilization. Driver retention has become a sustained area of strength and differentiation. And our logistics business has become a competitive advantage as we have added expertise and scale to this high priority operation for the company. But an inflection point in our business cadence and business approach has occurred. A key message we hope the listener hears today is that this success is by design has been in motion for several years. We expect this to be sustainable and predictable for years to come. During our 2019 Investor Day held in New York, we laid out a long-term plan that included an introduction of our new brand. While the company is still USA Truck, our go-to-market name was modified to USAT Capacity Solutions. That subtle adjustment signaled a big change in how we approached our customers, our jobs, the market and our company. The shift to capacity solutions represents a move to being more solutions oriented, which in turn facilitates a service discussion and resultantly mode agnostic approach to solving customers’ great challenges. That change alone created a shift internally as well. To develop modal alternatives that do not rely entirely on asset availability, capital investment or rigid historical constructs, the results have been fantastic. As we applied this creativity in problem-solving, we deployed our USAT Connect technology in innovative ways and created our acclaimed Driver Load Board, which won us the CCJ Innovator of the Year award. And we deployed API pricing tools whereby nearly 21% of our freight is now booked automatically. And we partnered with technology startups to custom engineer AI-enabled optimized freight booking selection and scheduling. This same flexibility of thought freed our mindset to find ways to grow capacity even in the toughest markets. We refined and expanded our power only offering that we call Plus P. We actually grew our owner operator fleet in 2021 9% year-over-year and our logistics business continued its upward trajectory and growing load counts and profits. As a result of the foregoing, roughly 64% of our company’s revenues are now derived from non-asset or asset-light businesses, where someone else provides the tractor in capital. That’s an important statistic that notably improves our financial and operational metrics. Our company now looks much differently than it once did. We are a solutions provider or said differently, a logistics provider that also has an available fleet of approximately 1,900 trucks. The benefits of becoming more asset-light are many. Capital efficiency has improved. Our trailing 12-month ROIC is 11.3%, which is meaningfully higher than our cost of capital. Cash generation, this focus translates the healthy cash generation to support the ongoing growth of the business. A proxy for that is our trailing 12 months adjusted EBITDA of approximately $75 million. Flexibility, our ability to pivot and respond to market dynamics has improved with this model and margin sustainability provides guardrails against inevitable market cycles. These businesses run on percentage based purchase transportation constructs that provides even greater margin predictability as the cycles change. This gives us a steady base to rely on in expanding the business, while protecting profits in all different cycles. The bottom line for us is that USA Truck is a totally different company than it was 5 years ago and we have effected that transition through thoughtful strategic planning with management and the board and new brand that signaled a new approach in our go-to-market strategy, consistent execution on our self-help initiatives, and an overhauled culture led by our amazing people. I cannot say enough about this final point. People have made all the difference to our trajectory and success. And it is they who have created these outstanding results. We expect to see upside in 2022 versus 2021. And believe so, because we still see a number of opportunities that went unrecognized in the year, specific areas of profit enhancement and even more opportunities to improve our decision processes and execution through all phases of the cycle. We expect that 2022 earnings will keep us ahead of schedule with respect to our 2024 strategic goals of $4.25 to $4.50 of earnings per share that we outlined in the second quarter last year. Our playbook was largely influenced by the experiences of past turns in the cycle. And so we have diversified our business to have more sustained and predictable margins throughout logistics, dedicated and asset-light businesses, while continuing to improve and shore up the asset business. Our network and pricing relies on high volume and the refinement of profitability, architected lanes that we expect will endure the test of time. We have used the robust environment to create a network that we think will be enduring. We also made big strides in ESG and technologies. We released our first ESG report in the quarter, announced a partnership with Nikola and a technology partnership and business relationship with Convoy. We are moving ahead with the future in mind informed by the lessons of the past and so we see a bright future even beyond 2022. We believe the result is quarter and in 2021 overall is the direct outcome of these efforts that has a bit of inevitability to it. We laid out the playbook, stuck to our plan, and now are performing as we had expected and as we had communicated to the street to the industry and most importantly to our customers. We think this performance warrants a more objective review of USA Truck by all market observers. This is a diversified transportation company with the majority of its revenues and a large percentage of its profits derived from asset-light and non-asset avenues that executes consistently and profitably. That is who we are and we hope to garner support for being viewed as such by these in future results. Today, we will offer updates on the market dynamics and segment performance in the quarter and also the outlook. I will now turn the time over to Zach to discuss the financial results.
Zach King: Thank you, James. If you will please turn with me to Slide #3, we’ll do a brief review of our financial results. Base quarterly revenue, which excludes fuel surcharges, was up 21.9%. Consolidated quarterly operating revenues came in at $200.9 million, which represents a 26.5% increase year-over-year. Consolidated adjusted operating ratio for the quarter was 90.7%, down from 93.2% in the prior year, primarily driven by improvements in our base revenue per mile in our Trucking segment and increases in revenue per load and load count in our USAT Logistics segment. The results of these initiatives generated adjusted earnings per share of $1.38 for the fourth quarter and $25.4 million in adjusted EBITDA. Our fourth quarter 2021 adjusted earnings per share, was positively affected by an IRS deductibility clarification that resulted in a $0.06 increase in fourth quarter EPS. Turning to Slide #4, trucking operating revenues before intersegment eliminations increased $15.2 million or 14.6% to $119.5 million. Base revenues, excluding fuel, were up 9.6% to $105.7 million compared to $96.4 million in the fourth quarter of 2020. Our Trucking segment generated $11.9 million in adjusted operating income and an 88.7% adjusted operating ratio. The primary driver of these results was a $0.50 increase in base revenue per loaded mile when compared to the fourth quarter of 2020. Utilization decreased 106 miles per truck per week or approximately 7% from the fourth quarter of 2020. This decrease is a direct result of decreased utilization in our owner/operator fleet, which represents approximately 30% of our available tractor fleet and our network optimization strategy that optimizes for operating profit and revenue per tractor over miles and other variables. These rate and utilization outcomes positively affected base revenue per available tractor per week, which increased $443 or 11.5% year-over-year for the fourth quarter. The average available tractor count for the fourth quarter of 2021 was 1,875, which is a 1% increase from the third quarter of 2021 and a 1.7% decrease when compared to the fourth quarter of 2020. Turning to Slide #6, we will do a review of the results of our USAT Logistic segment. Revenue before intersegment eliminations increased $29.3 million from the fourth quarter of 2020 or 44.9% to $94.6 million. Our Logistic segment generated $4.9 million in adjusted operating income. Gross margin dollars increased $2.5 million to $11.9 million in the quarter. Gross margin percentage for the fourth quarter was 12.5% versus 14.3% in 2020. Load count increased approximately 40,300 loads during the fourth quarter from the 32,600 loads in the fourth quarter of 2020, an increase of 23% and an increase of 9.5% or approximately 3,500 loads sequentially. If you will turn with me to Slide #7, we will highlight some key balance sheet and liquidity measures. As of December 31, 2021, total debt and finance lease liabilities were $144.8 million. Net debt was $143.8 million. And our net debt to adjusted EBITDA for the trailing 12 months ended was 1.9x. The company had approximately $124.1 million available to borrow under its credit facility as of December 31, 2021. Also as announced in our 8-K we filed last night, we entered into a new $130 million asset-backed credit agreement on January 31, 2022. This new structure provides a more predictable equipment valuation and equipment financing arrangements that secure low cost fixed interest rates and increased capacity. Looking forward into 2022, we expect $50 million to $60 million in net CapEx for the year. A portion of the projected CapEx is rollover CapEx, representing trucks and trailers that were expected to be delivered in 2021, but have been delayed to 2022. New revenue equipment deliveries have been sporadic due to the widely reported OEM supply chain and labor issues. If this continues, it could negatively impact our operating cost as our equipment ages. However, we expect to receive our scheduled equipment throughout 2022. With that, I will now turn the call back over to James to offer more insight into the quarter and our outlook.
James Reed: Great. Thanks, Zach. The quarter was seasonally strong with typical Q4 search dynamics in play. We mentioned last quarter that some customers had entered into longer term agreements to secure capacity and that benefit will continue into 2022. One trend that we want to note is the gaining acceptance of our customers to what I’ll call mode agnostic capacity. The pandemic and shortage of available capacity has led customers to care less about who is pulling the trailer in favor of having a relationship with the owner of the trailer itself. This broader acceptance has benefited our Plus P program. And because customers have come to broadly accept it, we think it’s here to stay. And the good news for our customers and shareholders is USA Truck has been offering a power-only solution for more than a decade and we are very good at it. Industry capacity remains tight and pricing remains strong. We expect 2022 rates will be on average up lower double-digits year-over-year when compared to 2021. All the cost pressures of running a fleet remain in play and thus make downside price declines less and less of a risk. Every market participant faces increased recruiting cost, higher truck and trailer cost, higher insurance and higher fuel prices and that gives some downside protection to capacity providers. Driver and new truck availability remains significant headwinds as Zach mentioned, received just under half of our 2021 truck order by the end of the year, we continue to receive new trucks, but all the OEMs are having parts sourcing challenges. And so we are receiving and mostly in-servicing new trucks that are missing components that we will need to retrofit later. The OEMs are largely taking a FIFO approach to resolving these issues. So we have decided to keep receiving trucks to reduce the age of fleet and get in line for these parts once they come available. The average age of our fleet was 2.9 years at the end of the year. I will now talk about segment results. The headline for our trucking segment is we got to a sub-90 OR in the quarter, delivering an 88.7% adjusted operating ratio on the combined effect of a strong market, equally strong execution by our team. That reflects a year-over-year improvement of 440 basis points and 660 basis points sequentially. I’d like to highlight just a few of the executional efforts that led to the continued good and improving results here at the company. Our owner operators have grown 9% year-over-year. This group performs at a predictably low 90s OR in almost any market condition. Our ability to grow this business has been the direct result of great recruitment efforts, great partnering relationships with outside lessors who help drive drivers get in trucks, a market leading and innovative load board platform that allows independent drivers access to freight selection on their own and offering ancillary services that make it easy to do business with us. It is historically difficult to retain owner operators in robust markets. And we believe our ability to do so will be even more of an advantage when conditions change, because independent owner operators retreat to the safety of large company relationships and freight when the market soften up. This business is defensible, because it requires thoughtful and prolonged intentional design which we have done well. Driver retention has become a strength that allows our team to become even better operators as we season associates and know our business. We get out of constant training mode and into a constant productivity mode. In a tough environment, we have been able to effectively retain our drivers, which eases the burden on new recruitment. Despite a tough recruiting environment, we did increase truck availability sequentially from 18,057, up to 1,875 in a quarter. The next topic is fleet mix shift to more and more consistent margin constructs. We think it’s vitally important this quarter to help people understand the mix shift that has occurred in the company in terms of our fleet composition and what the implications are for the long-term health and direction of the company. The trucking segment is composed of two interoperable and interdependent components of the trucking business, traditional irregular route truckload and our dedicated and quasi-dedicated business. The traditional truckload business accounted for approximately 60% of our trucks in this segment in the quarter, while a dedicated and quasi-dedicated account for the remainder. Our strategy is to get our asset business to be 50-50 traditional irregular out truckload and the remainder dedicated. It is important for investors to realize that this dedicated portion has predictable repeatable performance dynamics that contribute a high 80s to low 90s OR year in and year out owing to the long-term nature of these business agreements. Our average weighted length of dedicated relationship when accounting for evergreen and automatic renewals is targeted between 2 to 3 years. The duration of these relationships is intentionally designed to sustain both our customers and the company through the duration of cycles both high and low to great predictability on both sides of the transaction. We had struggled to get the dedicated OR in line the last 18 months and we were open about the cost of startup, the experience curve of becoming a better and better dedicated partner and operator and frankly, our ability to manage the business in a super dynamic world. We are happy to report that over the last 5 months, the dedicated business profitability has come in line with our expectations. We have grown 15.9% year-over-year in the number of active trucks even as we secured 16% contractual rate increases. During the fourth quarter, the dedicated portion of our business performed right around a 90 OR exactly where it should be. Finally, I want to talk about network improvements. A big contributor to our success over the last several years has been our tireless focus on developing a sustainable, repeatable network strategy and design that ensures improving profits and a competitive service-oriented offering for our customers. We believe we are closer to that now than at any time in our company’s history. Some basic internal metrics that help us understand our network’s health demonstrate the incredible progress that has been made here. The first metric is spot rate percentage. The spot rate percentage in the quarter was just over 10%. Our spot percentage in the quarter was the lowest it has been in the last four quarters, not what one would expect. The opportunity to pursue spot price rate was there, but we chose to play the long game. Even as our capacity develops into more asset-light capacity with the owner operator base, our network refinements keep us in the network with a bias for servicing contracted freight. One of the most staggering data points for me is that our owner operators, so many think about as capacity that follows the rate available in the spot market. They actually operate about 75% of their production on in-network contracted business. Recall that we have a proprietary USAT Connect technology solution that affords owner operator’s visibility into both contract and spot opportunities and they are largely choosing contract freight. This bodes extremely well for the future asset-light capacity with predictable and consistent OR performance, fantastic ROIC characteristics, and scalability is supporting our network design by virtue of the choices they are making as free agents. The next data point is network density. A measure loads per lane per week has become a bit surreal. Lane density is up 28% over the last 8 quarters and well over 100% in the last 5 years. This only comes through the refinement process of thoughtfully and theoretically designing the network first, bidding the freight consistently over the course of several years and then effectively servicing said freight. So, customers have faith and confidence in our performance and allow us to keep that freight in subsequent bid cycles. This is a symbiotic reality that has emerged due to thoughtful design, good execution and a commitment to the process. Next is Tier 1 lanes. These are the lanes, where we move freight from network hub to network hub or terminal to terminal. Our absolute best operational and most profitable lanes are the focus of our network design. We optimize with an objective function for profitability. Even with these improvements, we only have just over 43% of our freight in these lanes, with a theoretical possibility approaching 80%. We still have a lot of runway here to refine and improve the network even further. We just hope that our constituents understand that because of our network approach and great execution we are being differentiated from our competitors and creating highly profitable opportunities for our business. Let’s now talk about the Logistics segment. Logistics had a record fourth quarter in both revenue and profits. It is a significant contributor to our business and now makes up 44.1% of total revenues before eliminations and this quarter accounted for 29.2% of consolidated adjusted operating income. Our Logistics segment generated $323.4 million in revenues in the year and $14.7 million in operating income over that same time period. The fact we think is often lost on outside observers. This business adds significant value to our company that we believe is not properly recognized. One of the things we like about logistics is that the margins are reasonably predictable across market conditions. And so being able to crank significant volume through the business, I think the supermarket model becomes the highest priority as an insulation against retreating markets. Watch for us to add capability and investment in some of the traditionally strong freight hubs in 2022, Chicago, Dallas and the West are all areas where we think we could add even more business in short order. I would like to add some emphasis to a few noteworthy efficiency gains that continued through the quarter. Load count per – load count and volume, our load count continues to be strong. Q4 volumes were up 9.5% sequentially and up 23.4% year-over-year. This is critically important in any market condition. If margin compression is real and it maybe long-term having the throughput to harvest profits is critically important. USAT Logistics revenue per employee is up 33.1% year-over-year. We continue to emphasize this, because it is simply astounding. The last five quarter’s year-over-year growth by quarter have been starting in Q4 2020, up 136.3%, up 85.6%, up 99.6%, up 47.4% and now, up 33.1% even against tough prior comps. Margin dollars per employee is yet another improving statistic. Our logistics team produced over $126,000 in gross margin dollars per employee in the quarter. This represents an $18,000 increase per employee year-over-year or 16.5% improvement year-over-year, again against tough comp. And finally, USAT Logistics loads per employee, is up 13.4% year-over-year. Going back to Q4 of 2019, our logistics load count per employee is up over 74%. Our people processes and tools are all getting better and better each quarter. The logistics story is really straightforward. Higher revenue per load is being pushed by the market at large, but the team continues to set records in terms of revenue, load count and margin per employee. Even with the high throughput of volume, the team found a way to expand margins year-over-year. That’s a winning formula that we expect to see in the coming quarters and years. We think about logistics as a high growth tip of the spear business that allows us to enter new markets with low or no capital investment, predictable profits and nearly unlimited upside. We continue to take share in this marketplace, where businesses like ours typically garner significant multiples. This is a big time brokers business that is among the top 30 in annual revenues among all third-party truckload logistics companies in the industry. And while we are not sure the market hears us, we have been unabashed and unapologetic about the great underlying business asset that this is, it is our aim to be world class and we are definitely performing that way. I would like to shift to talking about the outlook. The business environment remains healthy in both segments of our business. The toughest headwind remains finding qualified drivers to join our team, but our retention has gone from being a perennial weakness to an undeniable strength. Pricing is healthy and customers are more interested than ever in finding innovative solutions that address our cost headwinds, while allowing us to optimize our network. The point that we hope everyone will take note of is that this business is poised to take advantage of market conditions irrespective of the face of the cycle. With 64% of our revenues coming from asset-light and non-asset businesses, about a third of our asset business coming from highly predictable, highly profitable and defensible dedicated businesses and a thoughtful and successful network strategy, the outlook for USA Truck is more predictable margins by virtue of our architected mix, more consistent results owing to our great execution, and a platform that now provides a solid base from which to expand and grow. Now, referring to Slide 8, we will just update everyone on our 2021 touchstones that were introduced last quarter – excuse me, they were introduced last year. This will be the last time we report back on the 2021 milestones. And as we approach our 2024 strategic timelines, we will begin to focus on only reporting on progress toward 2024 in our future calls as we talked about key company focus areas. Trucking segment OR, we are ahead of plan on this measure. Logistics load count growth, our target was 10% annualized profitable load count growth and we have had 17.4% dedicated growth, 15% truck count or more dedicated is at 16.1% year-over-year and we expect this success to continue. The employer of choice, we expect to improve our driver turnover by 10% or more in the year, our fourth quarter result and year-to-date turnover is under 80%, which significantly outperforms the goal. Now moving to a strategic update, during the second quarter of last year, the leadership team undertook a comprehensive review of the company’s strategy and alternative growth opportunities, with the output being a thoughtful, analytically robust and well-vetted path forward. The conclusion of that exercise led to three specific strategic priorities going forward that we discussed last quarter: number one, expand and densify our asset business East of I35. By further densifying our network we will continue to leverage existing cost infrastructure, leverage existing recruiting and customer presence, improve our yield on freight through an optimized and architected network and expand our dedicated and terminal networks. We expect this to result in an asset-based business that consistently performs between 90 to 92 operating ratio by the end of 2024. We are ahead of schedule on our densification measures and OR progress at this point in the strategy rollout. The one area of risk we see here is in continuing to add capacity through owner operators and some fleet expansion in terms of trucks, but these are mostly operational risks. Two, double the logistics business. We have strong momentum in what we believe is one of the best logistics businesses in North America and that by doubling our revenues, we can add significant earnings growth with little corresponding capital investment. This is a high ROIC investment stream and we expect the logistics business to grow to $400 million in top line revenues by 2024. This goal is well ahead of plan. In year 1 of our plan, we were up over 50% and there is a distinct possibility that this strategic goal maybe accomplished 2 years early. And finally, the third leg of the stool is reduced the asset fleet age. There is a meaningful operating income impact from a younger fleet. We expect to bring our average age of fleet to 2 years over the course of our next trade cycle. We exited 2021 at 2.9 years average fleet age, but expect to get to just over 2 years by the end of 2022. Getting there is a risk that is consistent across the industry and not unique to USA Truck. We will do all we can to get back on track and partnering with our OEMs. The combined effect of the strategic trust outlined above is an organization with top line revenues of just over $1 billion, a blended OR of 93 to 94, and an EPS of $4.25 to $4.50 by the end of 2024. As we consider this strategic plan in the context of our recent results, we expect to see corresponding value creation for shareholders. In our opinion, USA Truck remains one of the best stories in this space. In summary, we are very pleased with the progress of our business. We have improved all facets of our business. Historically, the asset business has been the focus of management. And while we had to fix the asset business, it is not even the majority of our revenues anymore. We now have a market leading logistics business that generates consistent margins and profits, while requiring little capital. We have an asset-light business with a large owner operator base that likewise requires relatively low capital in the form of trailers and garners consistent profits in all market conditions. The asset business has a sub-90 OR in the quarter and has the ability to flex profits in robust markets and batten down in down markets. And about 35% of the business in that segment is highly profitable and highly predictable, dedicated contracts. Our balance sheet is strong. Our business is thriving. We are executing on our strategy, creating record setting financial results and have shifted our mix in such a way that our return on capital is strong. USA Truck is in a remarkable position to grow and expand from this strong base. So with that, Holly, I will turn it back over to you to open it up for questions. Thank you.
Operator: Certainly. [Operator Instructions] Your first question for today is coming from Jack Atkins. Please announce your affiliation, then pose your question.
Jack Atkins: Okay, great. Good morning, guys. It’s Jack Atkins from Stephens. Congrats on a really strong fourth quarter.
Zach King: Hi, thanks, Jack.
James Reed: Nice to hear to your voice.
Jack Atkins: Good to hear your voice as well, James. So I guess maybe if we could start, James, you talked a lot about the sustainability of the results. And obviously, the freight market has been incredibly strong over the last 18 months, but you guys have been doing a lot to really put the business on the right track regardless of the freight cycle. I would just be curious if maybe if we could talk for a minute about as you look out into 2022, we are going to have tailwinds on our back from a cycle perspective that should persist most if not all of this year. What are maybe a couple of the key strategic goals for this year, particularly within the asset-based business to further that sustainability goal? Would you think about the business longer term? Is it increasing the engineered lane as a percentage of the business side of that increasing dedicated? What are some of the maybe intermediate goals as you think about again that longer term vision of an asset-based business that’s generating a 90 to 92 OR through cycle?
James Reed: Yes, thanks, Jack, I kind of – as become my normal practice, I’ll be a little bit circuitous, but I will answer your question directly. So, we have the same opportunity in 2020 and 2021, like everybody else to go be hogs, right. Everybody knows the cliché, pigs get – fat hogs get slaughtered. We chose to take a longer view and really architect our networks, with some intentionality and focus on profitability and sustainability. And so when I talked to my friends in the industry, we all kind of say, look, if you are not taking this opportunity to upgrade the freight, build meaningful, sustainable customer relationships and have something that will stand the test of time, then you are really missing the mark. And so rather than chase spot freight, I mean, as evidenced by the 10% spot number that we had in the quarter, we have been really, really thoughtful. So, the first component of that long-term success is network design. The second thing I’d love to mention, and you might remember this, Jack, I talked, I don’t know three or four quarters ago, about 2019 being kind of the prisoner’s dilemma of freight. We learned some really important lessons from 2019. We learned that whoever has the freight in a down cycle win. And the reason is tender acceptance rates go through the roof, service levels go through the roof, and customers have no reason to change providers at that point. So, if you don’t have the freight, you end up trying to convince customers to give you freight in an environment, where they have no incentive to do so. And so, we resolved in 2019 that from a margin construct standpoint, we would get more asset-light, because, those PT models, those ORs stay consistent. The revenue per load may not, but the OR the profitability profile stays consistent. That’s one. Two, we realized that he who has the freight wins, and so if we took this opportunity to get even more volume in our system, you certainly see that in our logistics business. Our logistics business load count over the last 5 years is up about 40%. That’s an incredible number. Over the last 2 years in our architected network, which would be in our asset business, we have been awarded 25% more freight than we were in 2019. And so we have really taken the lessons of the past to heart in building something we will – we believe will sustain the tested time. And then now to answer your question, we don’t have – I mean, we have a balanced scorecard that we looked at internally that has about 35 to 40 metrics that we are all accountable for and we review those in our staff meeting. The organization is really run on that. It’s kind of the clock for the company. But as a firm, we have three specific goals for the company that we believe are the three most important things that will drive enduring value in the company. The first one is load count. Everybody in this company, if you were to get them on an elevator and ask them the elevator test would know these three things. Load counts the first one. The second goal is revenue per company tractor. It used to be revenue per truckload tractor, but we changed it to include the dedicated business in that as well, so revenue per company tractor. And then the third one is one that you may be wouldn’t mention on our earnings call, but we think it’s vitally important to our success. And that’s preventable accidents per million miles. And so we are focused on those three things. And we think a business that has load count that has revenue per truck, and which is largely supported by the network initiatives that you were alluding to, and operate safely is a type of business that can sustain all kinds of market headwinds. I hope that answers your question.
Jack Atkins: No, it absolutely does. And I guess for just a follow-up question to that, I hate to kind of just jump straight to the balance sheet and cash flow. But I think capital allocation here is an interesting kind of question. As we look forward, because to your point, the market is not giving you guys the credit that you deserve, for the changes that you have made. And I would just be curious to get your thoughts, Zach’s thoughts, as we sort of look over the course of this year, a, where do you see that the debt balance going? Is that – is free cash flow going to be allocated towards reducing debt, or perhaps do you maybe think about allocating some cash towards buying back stock? I know that the float itself isn’t probably where you want it to be in terms of trading liquidity. But I would think that there is an opportunity here to buy in shares, because of the cash flow profile, the company is improving, the balance sheet certainly has improved quite a bit?
Zach King: Yes. I mean Jack for us we kind of outlaid our $50 million to $60 million of CapEx we expect in 2022. So, with some of that being rollover CapEx, we do anticipate that a lot of our EBITDA generated this year will go to essentially reducing the age of our fleet by trying to buy down the age of that fleet with newer tractors, selling some of the old ones. The one item that we do have that is beneficial is it’s the tight market right now. So, as we cycle out some of those older tractors, they are worth a little bit more in the market, which kind of keeps our CapEx in line slightly as we are purchasing to reduce the age. In terms of the share buyback, we look at our investment of our cash, through a variety of means. We don’t roll anything out at any particular time. We look at the ROIs and our liquidity position and make the best decision that we can at that point. But right now, I mean we are truly focused on those three key initiatives that we outlined, it’s reducing the age of the fleet, is our primary goal with our cash at this point.
Jack Atkins: Okay. Got it. And I guess maybe just a quick follow-up on that. I would imagine, Zach, working capital has gone up quite a bit, because of the additional revenue and brokerage. I would imagine when the market kind of begins to stabilize a bit, that could be a cash windfall to you, maybe helping to overcome the additional CapEx this year. Is that something that maybe could be a benefit to cash flow? I don’t know if it’s second half of this year or ‘23. But I would imagine that you are probably carrying more working capital than you would typically imagine.
Zach King: Yes. We are, our – we have been fortune, our DSO has remained around that low-40s number over the last, I guess 2 years or 3 years. So, we have been able to maintain our collections. We got a group of great customers that pay on-time and are very reasonable. And then on our logistics side, in terms of our carriers, we do have a little bit of compression there in terms of DSO and the timing that we pay out. So, I mean you are absolutely right, as revenue start to stabilize, you will see that kind of that windfall start to come in. But as revenues continue to ramp up, you are still going to have that gap in terms of your working capital gap. But yes, cash generation will definitely increase in our logistics business for 2022. But you will always have that gap a little bit as revenues are increasing.
Jack Atkins: Okay. Alright. Makes sense. Last question, I will turn it over to somebody else and jump back in queue. But just I would love to kind of get your sense on driver recruiting. And it seems like some carriers are, including you guys are beginning to get a little bit of traction, growing fleet quarter-over-quarter. You guys have been doing that for the last couple of quarters? And you are one of the first ones to do that, because of the actions you have been taking. But just would be curious, James, if you could maybe comment on, is it maybe a little bit easier to recruit drivers today versus maybe three months or six months ago? And what’s your expectation for the fleet, maybe over the course of 2022? 
James Reed: Yes, so fair question. It’s funny, we were at your conference, and we were talking at a table with another operator. If it was a 10 out of 10 to recruit, now it’s a 9.8. So, it’s eased up a little, but it’s still really hard. I was talking in preparation for the end of the quarter, we always do deep dive reviews with each of our business leaders. And as we went through our recruiting leaders, key metrics, I had very much the same question. It’s, look, the cost to recruit is up about 16%, year-over-year. So, it’s more expensive. Part of the issue is, there remain a large contingent of people who are not incentivized to work. And as a result, we are – our kind of efficacy and efficiency of hiring, it just takes more leads to get a good hire. And it’s harder to find highly qualified drivers than at any time in history, maybe just as hard as it was last year. And so with that said, we don’t see an ease up and that coming. And so we are really proud of the sub-80% turnover, this company has. 4.5 years ago, it was over 140%. And so, if you were to ask me or the Board would ask me, which they have, give us your cogent actions that have led to those outcomes, it’s really difficult to put your finger on it. We have gone to regionalization, which allows us to see our drivers more frequently and establish better long-term relationships and people feel accountable. I will say that face time creates mutual accountability. We have really invested in our culture. As a finance guy, I used to cringe when I would say that, but I believe it with my guts, it’s made all the difference in the world. And so the way our people treat each other, and the way our drivers kind of step up and represent the brand is just life changing in terms of the health and the lifeblood of our company. Last night, after earnings dropped, I was watching Facebook and other social media platforms, and I had hundreds of drivers posting forward and in commenting about the success of the company. They are really proud to be part of a winning company. And so, I think those ongoing cultural refinements and investment in our people is going to continue to be a competitive advantage for us, particularly in the truckload space with respect to company drivers and owner operators. And yes, the environments just, it’s still tough. It’s really hard. You got to shift through a lot more leads to get to the wheat, and cast aside the chaff, if you will. So, thanks for the question, Jack.
Jack Atkins: Absolutely. I have got a couple additional follow-ups, but I will jump back in queue and hand it over to somebody else. Thanks again for the time.
James Reed: Alright. Thank you.
Operator: Your next question is coming from Elliot Alper. Please announce your affiliation and then post your question.
Elliot Alper: Great. Thank you. This is Elliot Alper from Cowen. So, I guess first on the logistics side, last quarter, you discussed bringing on some new employees to manage some of the load count growth. Can you talk about your expectations for that heading into the New Year aligned with some of this new hiring? And then clearly the productivity metrics are impressive, kind of what are some of the factors that are driving that employee margin, especially given some of the elevated wage and benefits we are seeing kind of across the board?
James Reed: Yes. So, let me just write this down, so I answer your question. So, on the new employees, I think we had if I remember the number, right, 26 new employees in the quarter, and they continue to be in ramp up mode. And so today, well, they are ramping quickly and learning our systems. We have a really kind of cool internally developed a rotational program where they go through every facet of logistics training and get kind of to co-pilot at every stop in the logistics business. They are all just completing that training now. And so we expect them to be up and running by mid-year. I think you didn’t say this in the asking your question, but kind of I think underlying that question is, how are you hiring people in this environment and it’s pretty remarkable. One, we have got great people that are evangelistic about how they talk about their business, and they garner a lot of excitement. And they recruited the schools where they went to school, and they do a great job. But the other side of this is, Elliot, we are able to hire people now that we have never been able to hire before. And we are really proud of the team that we have. And yet we have people knocking on our doors that wouldn’t have knocked on our doors before. An example of that is our safety leader, used to run safety and compliance for Walmart’s private fleet. Just how do you get an employee of that caliber, we didn’t want to muddy our earnings announcement by making a big HR announcement, but next week, you will see that we just hired as our Chief People Officer, probably the absolute best talent available in the market, somebody that’s run a 10,000 truck, private fleet for one of our biggest customers. And we have a great, great, great relationship with that customer. But the point is, this is becoming a destination employer. And so we continue to have great success adding to that pool. So, those 26 people that I mentioned earlier, we expect to be productive by kind of Q2. And then their cohort colleagues that are coming right behind them, we expect to add another, I am making number up here, I think it was around 50 this year. We are adding a lot of people, is that about right, Mike?
Mike Stephens: Yes.
James Reed: Okay. So it’s 5 to 10 a month that we are adding. So, it was just a great pipeline. And so we are really encouraged by long-term aspirations there. In terms of the factors that are driving the performance, some of its just good old fashioned grit, right. We have got some great leaders that caught the vision of the company, and managed the business cadence very well. That’s one. Two is some of the technology tools that we have put in place. We talked several quarters ago. We were one of the pioneering companies to come out with API pricing. We have a considerable portion of our freight, it’s about 5% right now that gets bid to the customer automatically, without human interaction, based on market data that we have. It’s either accepted or declined by the customer. It’s subsequently tendered to us by the customer. We match capacity to it. And there is never a human hand involved in that process. And so we are using technology and tools to enable better and faster capability. And then the third thing we have talked about a little bit in the past on some of these calls is we have engaged some partners to do some of the administrative work. So, we found lower cost geographies near-shoring to be specific, where we have taken some of the kind of day-to-day tasks that aren’t particularly value added for our people, and found other avenues to complete those. Zach, am I missing anything there in that?
Zach King: No. The only thing that I would add is, continuing on the training platform that we have built. I mean that’s been an investment that we have made in people and training staff and systems and processes. That way, whenever those individuals that complete that training program within our Logistics segment, graduate. They are up and running faster than they would have been if you are just hire someone with a college degree off the street and training them on the job. So, the exposure that you can give that individual to the multiple facets either on the carrier cells or in the account management, and you can find that right fit quickly for that individual. It just helps them get up and running a lot faster. So, that’s been something that I think has been very successful and will be very successful in 2022.
Elliot Alper: Okay, that’s really helpful. Thank you for that. And switching over to the trucking side, really impressive alarm in the fourth quarter, I guess how should we think about the normal seasonality of OR in the first quarter, kind of on top of the strength we are seeing through January? And then you discussed some of that 50-50 truckload dedicated mix? Did you give a timeline on when that may be?
James Reed: Yes. So the 50-50 mix, our goal is to be there by the end of 2024. We are right now just over 35% and growing that at 15% or so a year, we think gets us to the number. If you look at the seasonality, it’s really interesting question about what we think Q1 is going to be for the asset business, because we got owner operators who are performing around a 90. We have got dedicated performing around a 90. We got our Davis business, which is quasi dedicated, it’s just below 90. And you have got this, let’s admit it, right, this crazy kind of frothy market, that the kind of challenges are our normal construct about seasonality. What we expect Elliot, is that business to perform in the low-90s in Q1, so that would be a little bit of a back off from where we were in Q4. But I will tell you January started kind of slow, but then it came out, it went out like a lion. And as we look at where we are vis-à-vis, our own expectations, we are actually slightly ahead of our own expectations. So, we think it’s low-90s. But it’s still really great market.
Elliot Alper: Okay, great. Thank you both. Really appreciate it. Thank you.
Operator: Your next question is a follow-up question coming from Jack Atkins. Jack, your line is live.
Jack Atkins: Okay, great. Thank you. So just, I guess one quick follow-up question. And that’s, James, going back to your comment on spot as a percentage of your asset base mix today. I think you said about 10%. Is there a way to kind of think about where that was? Maybe either in 2018 or going into early 2019, just to kind of compare and contrast maybe where you are today versus where you were maybe in the last cycle?
James Reed: Yes. That’s a great question Jack. So, at the end of 2018, I don’t have the number in front of me. So, I am working from memory. But I think I will be really close. We were right around 15%. We have never gone above that number in the time that I have been here. And the rationale at that point in time was, we didn’t feel like we were fixing a broken company, right. We didn’t feel like we were nimble enough to be able to jump into that market, and then jump back out of it, and sustain our awesome customers who have supported us so much. And so we made a choice at that point, to stay kind of low on that. As we come into this part of the cycle in 2021, it was actually a little bit different objective function. We have become very protective of our network. And I mean, we are just math guys, right. Remember, you got three corporate finance guys sitting around the table. We just do the math. Our network guys figure out what the best OR is. And we have this really kind of consistent cadence when we work with customers to refine out the portions of the network that don’t work for us and don’t work for them. And so we weren’t really and look, we look at our competitors very closely, and we have gone and charted everybody’s rate over time. And you can absolutely see who is kind of playing the spot market and who is playing the long game. We definitely are playing the long game. And so just to be concise, in 2018, we didn’t play in the spot market, because we didn’t feel like we were nimble enough. In 2021, we didn’t play in the spot market, because we made a strategic decision to stick to our knitting, which still represented a huge improvement and got us, if you look at the average results, we are right in the middle of the top performers in the industry now. Hope that’s helpful.
Jack Atkins: No, it is. But still, you have got lower spot market exposure, which I think is good, going back to that sustainability point from earlier in the call. Last question is just on brokerage. And again, I am just trying to compare to where you were in the last cycle. Correct me if I am wrong. But it feels today like, you are obviously you have seen a lot of maturation within your brokerage business. You were making investments in 2018 and 2019, with the vision of what you are beginning to see today. I know that it was kind of a little bit choppy as we went through ‘19 for your brokerage business. I guess as you look forward, you sound pretty confident that you can grow, obviously, the top line is going to fluctuate around with revenue per load. But you can maintain sort of the momentum that you are seeing there, is that just because 2019, 2018 was a period of investment. But now, it’s a matter of just kind of continuing to reap the rewards of that. I mean how should we think about differences today versus last cycle, I guess to ask you more directly?
James Reed: Yes. Look, in 2019, I kind of mentioned this a little bit earlier. We really, we learned some hard lessons in 2019. And one of the things we did as a bit of a post mortem on it, is we went and did the math. And I asked a question in a strategic session of guys, I understand that 2019’s revenue per load is at an all time low. And it was, its lowest it’s ever been that anybody has ever seen. And when you got essentially a fixed margin business on a low revenue per load, I mean you understand pretty quickly, what it takes to have fixed cost coverage in that business. So, my question was, how much volume would we have had to do to survive the cycle and be profitable through that. And it was a really easy analysis. And we figured out very quickly, that we had to have what we have now referred to as a supermarket model, where there is just a high throughput engine. And so, so much of what we done, it wasn’t really market conditions as much as it was our capability and our constructs. So, as I mentioned earlier, in answering Elliot’s question, we have put all these tools in place. We have kind of off-shored some of the more kind of administrative tasks. We have implemented API pricing, so we can handle more higher throughput freight more consistently, quickly and responsibly to the market demands than we ever could before. We have worked with these outside technology partners to help us automate some of the capacity matching. I mentioned Convoy by name, but there is a couple others that we have been working with and people think, Geez, aren’t they your competitors? Well, in some markets, yes. But in others, absolutely not. So, we strategically leveraged the capacity capability of our partners in areas where we don’t have an operating advantage to help us fill in the gaps. And so that simple mindset shift and you might remember, I used to call it the stag model the stuff that it gives. But it’s the supermarket model. And so it’s really easy to do the math, that if you have enough volume, even at depressed revenue per load, you can still cover your fixed costs and make a really healthy EBITDA or up income out of that business. And so that’s – that was the mindset shift change. And our leader took it by the horns took it, was personally accountable for the results. And I am extremely confident that that business will continue to grow and it will be a strong contributor through any cycle.
Jack Atkins: Okay, that’s great. Thanks again for the time.
James Reed: Awesome.
Zach King: Thanks, Jack.
Operator: There appear to be no further questions in queue. I would now like to turn the floor back over to James for any closing comments.
James Reed: Great. Thanks, Holly. Earnings releases are a funny thing. By the time we get the share results, we have already moved on to the next quarter, but this quarter, and this year were special. And yet they had an air of inevitability. The high school football coach where I graduated is the legend, his name is Ed Fisher. If someone made a big hit or scored and then celebrated, he would grab them by the facemask and sternly say, act like you have been there before. And that’s how our whole team feels about these results. Yes, we had great results, but winners expect to win. And these results are the direct byproduct of our team collectively understanding the task, executing well, ultimately following our own business processes, and overcoming the odds to turn around a company that for whatever reason continues to be underappreciated in the market. The playbook for winning in this business is not complicated. We just run the place, have a highly accountable culture, and the outcomes are expected to be good. This team has accomplished a lot in a short period of time. We are ahead of schedule to hit our strategic goals and see ample opportunities for additional upside. Our job now is to continue to do all we can to earn investor confidence and the confidence of the market in the quarters ahead. What a great way to end our first 30 years as a public company. Thank you and have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.